Paul Manduca: Good morning. Thank you for joining us for this results briefing. As you will have seen, the Board has announced today our intention to demerge M&G Prudential, our UK and European business, from the Group. We’ve been clear for some time about the importance of creating optionality within our corporate structure. After a rigorous review, we’ve now decided to exercise one of those options in the interest of both businesses and of all our stakeholders. As a standalone business, M&G Prudential has strong capabilities in the growing savings and wealth management marketplace. It will be focused on outperforming its UK and European competitors and will no longer compete internally with our businesses in Asia and the U.S. Following the demerger, Prudential plc will focus on the opportunities we have in the two largest insurance markets in the world, meeting the needs of the fast-growing middleclass Asian community and Americans approaching retirement. We’re also enthusiastic about the progress we’re making in Africa. The two independent groups will be headquartered in London, which we regard as the preeminent city from which to operate global financial service businesses. We would expect both to be members of the FTSE 100. The Board believes this demerger is in the best long-term interest of all our stakeholders. Customers will receive greater focus, employees will be more closely aligned with our businesses, and we are confident that this demerger will create market value. Today, strong full-year results demonstrate the positive momentum across all our businesses. With that, I’ll hand over to Mike, who will talk you through our results and provide some insight into the proposed demerger. Thank you.
Mike Wells: Thank you, Chairman. Well, good morning, everybody. You had a slightly quieter morning than I’ve had. It’s been an interesting set o results to try and prepare a summary for you today. I think, one of the comments that a number of you’ve said early is there’s an awful lot in this pack. And there is couple of take ways. We’re going to do our best to get through that. As always will stay and answer any questions you have on the variety of topics and metrics and things that reported in this. I want to start, if I may, at the top. If you look at the scale of what was done last year, so, another incredibly strong record year of earnings. The combination of M&G improved successfully. Some of the businesses, we’ve increased stakes and decreased stakes hold in, all of the various dynamics. I said to a number of you when I first took this role that one of the things people under estimate about this Group is its bandwidth, its capability. And I hope one of the things you will take away from the just sheer amount of materials that’s in here and completed projects and work streams in here is the folks in these front couple of rose, even back at third row is are capable of producing a tremendous amount for you as shareholders, and I certainly owe them my thanks. So, another strong set of broad good financials. Let’s start on, if we could. Actually I will take this, all the key metrics, so, new business profits, cash, embedded value, earnings, dividend, capital. Embedded in that is a focus on quality of earnings, health and protection focus, Asia. You have IFRS up 15 in Asia; health and protection up 26; the U.S. increased in the fee level; the UK record net flows; and the M&G at over £17 billion; and the with-profits fund as well at 9; IFRS earnings up 10, and the M&G Prudential, dividend up 8, and again, all of this while maintaining a very robust solvency level. So, very pleased with the strength and breadth of the financials. And some of the optionality, we’ll talk about later today simply comes from the fact that we have the strength to do this from and that we’re doing this from businesses that are all working well. And we’re not solving for anything as we get to some of the more strategic conversations today. Not to be lost in our discussion, all of the 2017 objectives have been achieved. We go back to the again my 23 years here, we’ve run three sets of objectives over time to Asia primarily with some group metrics in them. But, I think it was fair to say, they were to demonstrate proof-of-concept. At various points there was tremendous debate about the resilience and validity even of our Asian assumptions. I’ll date myself with this number. But, when I started in 1985, the IFRS earnings in Asia were £11 million. Yes, I’ve been here that long, and they’ve done that good a job, both reasonable takeaways from that. But it is incredible, the job that the teams have done and the resilience and the percentage of that earnings now that’s recurring regular premium. Health and protection focused slightly but that recurring earnings stream over less dependence on new sales, more dependence on us doing the right things with existing clients, giving us cohort after cohort of profitability for our shareholders. While Asia was growing, while there were meeting those objectives, you also saw material changes, active management of the portfolio. So, that’s everything from the businesses we chose to exit, business markets and products we chose to exit, the businesses we entered, new marketplaces. In this period of time, you have Laos, you have Cambodia, you have our African expansion, you have product expansion, new distribution relationships, all taking place. So, this wasn’t just the chase a handful of public metric sort of exercise. The overall quality and capability of the business has improved throughout this period of time, and again put us in a position capability-wise, not just financially, so we can do things that we couldn’t do in 2012. And as I travel the region, it is very clear some of the capabilities that the Group has that are new, some of the stuffs that’s emerging in the sense that more forward-looking, it’s yet to hit scale and some of the things that are actually benefits of scale, all coming through. So, tremendous financial metrics but also I appreciate it, if you look at some of the other attributes that are included in there, automation there at the top. 90% of the applications now are auto processed, 50% under auto written. We have entire markets now or the entire China, as Nick highlighted in November, where almost the entire process is digital. We are getting better and better and better what we do each year. Structurally, if you go back a decade, the Group mix and its scale has evolved. So, if you go back to 2017, embedded value of the Group was about £15 billion, and half of that was the UK. You bring that forward to this year, the embedded value is £45 billion and 72% of that is international. So, the nature, currency, kind of earnings, what those earnings react to and work, all of that has changed. So, when we’re looking at some of the strategic decisions, this is one of the lenses. It’s not just the absolute scale that these businesses -- the interdependence financially is reduced, but it’s what attributes do they share, what capabilities they have is changed. And from a market point of view, how we look at the Group is nothing more than a reflection of what the Group has actually become and then a view of what we think the next 10 years out looks like. So, if you all have your own, I know various views of that, but if you take this out another decade, the international component if left alone, would be even larger and we would be having a very different conversation about structure. So, we’ve been very active managers through this period of time of the portfolio. Again, we’ve entered and exited markets; entered and exited products; distribution channels; sold non-core businesses; deemphasized businesses. So, this has not been a run it for topline decade; this has been improve the quality of earnings, improve the resilience, improve the recurring earnings. And I think that comes across in our performance. But now, we’re in a situation where both the UK and the international business have scale, I think by any attributes, which brings us to the announcement of the demerger. So, what are we trying to achieve? One, better alignment. If you think of the time, you will see the capital reallocation -- you see capital allocation and alignment; you see resource allocation and want the people’s focus, the government’s focus on the markets that are closer to the consumers and where they are. The amount of time that John and Anne spend on the PLC Board would be spent 100% on a UK, Europeans bent focused Board. Just a simple example. The choices on how we allocate capital, right now you UK competes internally as it should for opportunities we have around the globe. Those may or may not be higher rates of return than we get in the UK and those returns may have different characteristics and how they react to the pound or news here or news in emerging markets or news in the U.S., political news, anywhere now seems to be analysts. Those factors, all are changing. So, what we know is M&G Prudential is large enough to compete domestically with any firm in its space. It has a breadth of product, capability, management team, technology. It’s got everything it needs to succeed domestically. The value of being part of the Group that the Group brings to it is diminishing. So, when you look at the strategy, you look out and say, are we the logical owner? The conclusion of the Board is, maybe now, but certainly not over the next decade. So, this is the right time for us to do this. Right decision, right timing, and we think it will unlock benefit for all of our stakeholders. What you will have? A shareholder today will have the same economic interest if they do nothing and just hold two shares when the demerger takes place. It will have one, as the Chairman said, FTSE listed Prudential plc, which will focus on United States, Asia and Africa; and you’ll have one share of M&G Prudential, which will be a national champion on the savings and retirement space, investment space here in the UK and Europe. So, no -- if an investor said, I want to keep what I have, you can. The choice goes back to the owners of the Company and how they want to allocate their capital between the two businesses, what they think is the right mix or if they want to do absolutely nothing. It’s -- the ability to do this, the dividend policy in the interim remains unchanged and the -- we cannot comment on a dividend policy of the future entity that doesn’t have its Board in place, let’s be very clear. That’s not our gift. But the divestiture itself doesn’t affect the dividend capability of the firm in either structure. So, it’s not an economic decision. I got asked earlier a couple of times today the -- what’s the dividend policy going forward. We’re only responsible for the dividend policy of the entities we govern. So, until that’s done, obviously there is -- that’s up to new Board. But both entities should be competitive in their marketplaces on all financial metrics. What stays the same? Same, same risk, same governance, both based here, both headquartered here, again listed here, premier listings. And we believe from the metrics they’d be FTSE 100 included. So, from an index point of view, they’d still be in the FTSE 100. From a execution point of view, from a tools point of view, it’s the same people. It’s the same cultures, it’s the same execution that’s just seen today, this is -- they’re just split into two teams. So, all of those things that got -- that produced the results that got these businesses here remain intact. And that includes the risk management, governance, all of the elements that control the quality of those earnings, quality of those sales. So, we think it’s a great combination of changing the piece to give the greatest optionality and greatest benefit to our stakeholders and keeping in place the piece that produces the most consistent results, most consistent outcomes, again for those same stakeholders. So, what is M&G Prudential’s space? Where is it going to go? Well, we envision as a market leading savings and investment business and again delivering very attractive returns on equity, its ambitions are clearly to take some of the things that are working well in M&G in Asia, some of the things that are working well with the UK, life side with M&G, there is already work streams in place to share distribution; there is work streams in place to share the digital platforms. We’ve taken the investment that shareholders made last year, and I’ll give you some update in just a second. But, the progress made is towards a single model, not two, as we committed to you, right. So, there is synergies coming out of that. And the marketplaces -- and from a consumer and institutional point of view has not accepted the logic of the business model, but it’s embraced it. You see that in the strong financial performance, you see that in the net flows and you see that in the operating income. We did not lose clients, because we merged the entities; we did not lose mandates. The both sides of the house had record flows. And as a percentage of flows in the market, tremendous market share. So, we think this is working and we think it’s a unique set of portfolio skills, a unique set of balance sheet, products and a unique set of with-profits products that the business brings to bear. And again, benchmarks nicely against competitors. Those flows in particular, you see on the M&G side on the left here, £17 billion in net flows and on the PruFund, a record $9 billion of net flows combining with the expense management and all of the upgrades and technology and operational models are doing net at a 10% increase in operating profit for the year. So, headline numbers are great, performance for the consumers, institutional and retail have been excellent. 90% of the institutional products that M&G has now, their three-year return is over the median for their sectors. These businesses performing are well; they’re not distracted. It’s business as usual while they’re getting integrated and while they are finding synergies as we committed to you they would, and the outcomes are measurable. So, a quick update on the merger and transformation progress. So, we committed to a £145 million of shareholder cost reductions at the end of the program, and that is on track. You’ve seen the combination of shared services. We announced the TCS project where they are replacing -- they’ve replaced Capita. And we are working on that transition. This is technology that is available now, up and running, agile, the kinds of tools that we want in the business immediately. It’s also consumer-facing service capability that we want to upgrade and can very, very with their capabilities. M&G is ready for Brexit regardless of the shape. The SICAV platforms we need up in Luxembourg are -- almost everything we need down there is complete. There is one minor project left, I don’t want to put too much pressure on the team to have it done by later today but it’s coming soon. But, we are in a position for anything, the political environment can throw at us within reason on that front. As we’ve said before, the Group’s not particularly sensitive to Brexit but we were sensitive to M&G’s relationship with European clients and distributors. And so, we’ve addressed that with fund structures. And then, now, we’re seeing the teams work together on what more can we do, what more -- what are the synergies and distribution and relationships, what are your clients think of the products that are held more broadly by what was the other side of house before and some very good progress there. And that’s just going live now. And then, finally as of very early this morning, the $12 billion (sic) [£12 billion] annuity transfer to Rothesay. It’s part of the larger capital management transition, if you will. We committed to you to get to actively managed of the capital on the balance sheet, particularly in Pru UK. So, you have the -- we’re announcing today the £12 billion transfer, the part of the back book to Rothesay. So that’s a reduction in credit risk immediately. We also are moving Hong Kong, which was originally discussed with you as a -- it will be earned out. We are pulling that project forward. Instead of an earn-out we will transfer it we think through the middle of the next year as the current time frame. And then, the last piece on the Rothesay transaction will be the Part VII, the full transfer. And that is subject to court approval. So, we anticipate from the current information we have, and again this is outside of our gift that that will occur sometime late to 2019. So, when you are looking at milestones and what do we need to do to be ready for demerger, it is not a set date on the calendar, it’s complete the work here that produces independent balance sheets, strong balance sheets, well capitalized firms, and then we will go off rather the half year or full-year results that follow that. So, we don’t incur additional shareholder expense for the demerger. And the back book transaction with Rothesay released a little over a 1 billion in capital and that’s going to be retained in the Group to maintain the structural and strategic flexibility we are talking about here today. So, the international business. So, we are well-positioned we think to lead in the markets that that entity will compete in. The most interesting stat came out of the work going into this. Asia now has a 1 million people a month entering the working population. So, we’ve looked at the demographics in Asia multiple ways but we -- as successful as the team is there, we’ve shown you this last year, as successful as our market positions are, as well received as the products are, the demand and the structural elements are still growing as fast as we can produce solutions and distribution to address them. So, we think the structural demands in Asia remain unique. There’s a variety of different ways to measure it, but we think it’s a -- it still has tremendous upside. And obviously we want to capture that. And we think the new structure better aligns us for that, focuses execution and should create value for everyone. The U.S. as well, you have more clarity now on DOL, you have more clarity on the shape of the marketplace and who distributors want as partners. Jackson’s capabilities are up in that space. We’ve already launched fee-based products. They’ve got over a 100 firms; we’ll come back to that in a second. But, they’re learning how to be effective wholesalers of a different product, different structure in a different space. So, they’re very well positioned to compete. And I’ll come back to some of the dynamics on them on a second. I want to give you a slightly different look at the success in Asia. So, we’ve talked about number of countries where we’re top three, it’s nine, eight countries with double digit growth. You’ve seen that before. But here’s a different cut on the actual size, the absolute size of the businesses we have in Asia now. And this goes back to scale, and this goes back to -- we do compete with new competitors. Their ambitions in Asia are as X amount of countries versus necessarily profit for country and things. And that can be challenging and it’s one of the many things the local teams have dealt with for as long as I’ve been here. But, I thought this was a really good cut at what you own in Asia. So, there’re -- the sheer size of these businesses now, the individual entities, continues to grow, continues to grow profitably. The focus on the teams is on profit, it is not on top line. They are limited in some of the products that they -- we won’t let them compete with, and it can vary by market based on the irrational behavior of competitors or credit risk we perceive there or the capital intensity or all of the above. But we think the quality of the earnings we’ve in these businesses continues to improve as do other key metrics around it. But, the absolute scale of them I think is something the team there needs to be very proud of. And then of course, as you would expect, new business profits at £2.4 billion, the IFRS operating profits up 15, the free surplus generation, we just keep adding profitable cohort after cohort after cohort to this business. And that’s the right way for us to build it. You see the new business profit number, health and protection up 26%. It’s a great metric for the team. And then, again, the margins continue to stay healthy, but there -- there’s quite effective utilization of the brand, the much more learning cross border as these business gets bigger, there -- if you almost went down the size of these businesses, their issues with the CEOs and their teams deal with get more similar. And so, the relationships and the sharing gets more enthusiastic. And Nic and the team have done a very good job now and each successive management team is bringing a slightly different style to it and getting them to work closer and closer together and share more and more as these businesses get more mature. One more Asia demographics slide, just another -- just why health and protection, upper right hand corner, there is no material change in the amount of money that Asian consumers are spending out of pocket. If anything, it’s up. In my travels there, it is generally one of people’s very -- it’s one of the earliest conversations they bring up on personal concerns, and education tends to be the second for family members. So, the changing demographics in the markets we are in is driving a lot of that. If you’re in Mainland China, the one byproduct of the one-child policy is a young couple is concerned about helping fund retirement for four adults, and that’s true in multiple other markets where historically family was the retirement plan. So, there is quite a focus by the parents and the working children on the viability of that model and how you fund that. We are in front of social need, consumer demand and aligned with political and regulatory models with the products and services we are bringing in. You see that in a variety of markets. On the working age piece, we just talked about the number of people entering the market, penetration stays low. On the upper end of the market, you are seeing a very, very fast growth in -- and you hear this from competitors that own advice platforms there, in wealth management, in wealth solutions. As the consumer there get more sophisticated, as in every market, they are looking for ways to diversify, participate markets globally. And we have Eastspring well positioned to capture that. But it is a -- the pace of that market and the resource is being thrown at it by banks and advisory firms is dramatic and we intend to play a material role in that and we have to date. Shifting to the U.S. for a second. So, the U.S. success can be summed up. So, the 2017 was again another great year for the U.S. business. It was a great year if you are a consumer and you own the product, again you own the top-performing product in the industry. The volatility and everything that went on in the market in the early year, your short-term vol and all the dramatic stuff that was in the headlines, there was a few political headlines in the U.S. last year. These consumers know that when they go to retire, they have X amounts of income coming. And it is no different than with-profits client in the UK looking to smooth the edges on the market. Now that said, the amount of exposure, the amount of guarantee -- the value of the guarantee if you will to our consumers from their market positions, the value of their accounts, has never been lower, because their accounts are done very, very well. They participated in the market. Remember, these one forced allocation models; these were not vol controlled models. These consumers got to own the underlying funds of some of the top asset managers in the United States. They participated about 70-30 in equities, disproportionately value funds with very good fund managers, again actively selected, actively added and deleted based on performance, and the balance of it is in bonds and guaranteed funds, and they’ve got a very good return relative to market and they own a product for accumulation until it’s time to retire, exactly as it was designed to perform. So with that, with the quality product, you get some very good outcomes. You get a profitable business that generates a lot of cash. I know there has been a lot of discussion about competing models in the U.S. And for those you that haven’t been sitting here a long time, we never believed in the GMIB product. We never believed in some of the distribution models competitors took. We took a lot of heat from that for a number of years because we wouldn’t do it. And the difference is, you own a company that’s produced £4.4 billion in cash to the center, which by any public metric I can get is more than all of our competitors combined. So, it is a very differentiated company than some of the other firms that it competes with. It isn’t that there aren’t good competitors in this space but this is the best competitor in the space. So, how does that position it for what’s coming? If you’re a consumer, you’ve got the best return; if you’re an advisor, it also is rated highest in service, including mutual fund companies in the United States, so your reputation for service, the time you spend interacting with your clients, because there Jackson is appropriate that matters to advisors. They hate services using companies. It’s performed as they suggested it would. So, we have trust with advisors. It also has the top rated wholesaling teams to support for the advisors in the United States. Well, that’s good and that’s retroactive in its measurement. What matters is that the landscape is changing and the emergence of the fee-based products and the emergence of post DOL platforms where a brokerage firm has to decide who are they going to invest millions with to linkup technology-wise with a company, one, they’ve got to believe the firm’s committed; they’ve got to believe they have the technology on the other side and they’ve got to believe they can actually add enough value to warrant the investment and manage the risk in a way that won’t damage the reputation of the firm. Product approvals now in some of these firms go all way up to the general counsel’s office. It’s no longer a head of insurance or a head of asset management who makes the call. So, Jackson’s reputation, historic success, client orientation, wholesaling capability, technology suddenly put at the front of the pack, if you’re running a brokerage firm and saying whom I going to put on my new post DOL platform. Now, we will manage capacity on that as we have managed risk exposure on that as we have everything else in Jackson. So, we can’t be everybody’s product, little different structured that way. But that’s the capability the firm has as well. So, Jackson is incredibly well positioned to deliver on where the U.S business is going, has a very profitable existing back book, and again very happy clients. They are staying longer than we thought, putting on the accounting metric that’s good or bad. On an economic basis, it’s only good. These are very profitable relationships for them and for us. All right. I’m going to get Mark up here in just a second. So, I’ve argued with you I think since I took this role and with some of you before that. I think, this is the fairest cut to look at us. At any point in time, to ensure just because the nature of our business and some of the accounting can move one of the needles for a period of time if they choose to, pretty hard to move all of them consistently. And again, I think this is the best report card on the Group. I think, it shows the growth is not only in earnings but it’s future earnings, it’s also in cash and that should translate to and it has a consistent growing dividend. So, again, today, we an announced 8% increase in our dividend. It’s well supported. And we think from a -- again, if you’ve owned the share awhile, if you go back to 2006 it’s £8 billion now in distributed dividends. It’s a high quality dividend; it’s a highly predictable dividend. And I think that’s -- it should rate as -- at the upper end of its peers. There is a lot to go through today. And I think with your indulgence, I will hand it over to Mark and then, I’ll come back afterwards for Q&A. And again, we will bring the whole team up here and go to any part of those materials you want at the end of Mark’s presentation. Mark?
Mark FitzPatrick: Thank you, Mike, and good afternoon to you all. It is understandable of course that our strategic announcement today has drawn most of the interest but hopefully not to the complete exclusion of our financial performance in 2017. This set of results adds another period in the long-established trend of growth in scale and in quality. This really underlines that we begin the M&G Prudential demerger process from a position of strength, right across all our businesses. With this in mind, I will cover three main areas: First, an overview of the key financial highlights; second, a more detailed look at each of our major metrics and the drivers of the performance in the year; and third, I’ll provide some financial commentary on our plans to demerge M&G Prudential. So, starting with the overview of the Group’s financial performance for 2017. We have delivered good financial progress with increases across our main profit metrics alongside higher levels of cash remittances and 8% growth in the ordinary dividend. Our performance has been led by continued positive momentum in Asia, although all of our businesses have made healthy contributions with asset management in particular having a standout year. Turning to our key operating metrics. IFRS operating profit increased by 6% to £4.699 billion, new business profit was 12% higher at £3.616 billion, and free surplus generation at £3.64 billion on a headline basis and was up by 9% on a underlying basis before variances. Throughout the year, we have continued to enhance the mix of our businesses by growing fastest in the products, geographies and channels that offer attractive and sustainable returns through efficient allocation of capital. This continues and established progression that speaks to the absolute and the relative strength of our products and distribution platforms in our chosen market segments and the disciplined focus with which we execute our strategy. Our fee-based businesses have also benefited from favorable investment market performance, delivering good outcomes for both our customers and our shareholders, as I will reference in due course. Currency effects have added between 3 to 5 percentage points to reported growth rates in 2017, although with sterling strengthening over the year, this is likely to reverse in 2018 based on current spot rates. As in previous years, we continue to reference constant currency movements as a better indication of the underlying financial progress of the Group. Our healthy balance sheet and Solvency II surplus remains key to our ability to successfully absorb movements in macroeconomic and other external factors. Moving on to each of our key metrics in turn. Starting with IFRS operating profit up 6% to £4.699 billion. Now the trends here are consistent with those I flagged you at the half year stage, in particular those are that, one, Asia remains the fastest growing part of our business; two, that each of our businesses in Asia, U.S. and UK and Europe have delivered growth in earnings across both life and asset management; and three, that consistent with our strategy in the areas that we are looking to grow, we are growing. As you can see on the right hand side of the slide, the largest contributions to IFRS growth are coming from our Asia businesses, followed by Jackson’s U.S. fee earnings on variable annuity business and the significant uplift in the underlying profit from M&G Prudential. These operations underpinned the Group results for 2017 and remain the focus of our growth ambitions and capital investment. We have also indicated in the past that there are some areas that we expect to contribute less in 2017. These include the spread-based earnings in U.S. where reinvestment yields remain below the portfolio return. Outside the business unit results, operating profits also include the investment we have made in systems to improve our capabilities across the Group, the cost related to M&G Prudential’s merger and transformation we announced in August, and higher interest costs from the debt issued in 2016. So, overall, another good year of profitable growth, based on superior strategic positioning, disciplined execution, and a very distinctive and attractive mix of earnings. Turning now to the IFRS performance of each of our business units starting with Asia. Both insurance and asset management have contributed to strong results with growth of 15% and 18% respectively, highlighting the positive momentum across our regional portfolio of 26 businesses. Fundamental to our progress across our life insurance platform, is our continued focus on higher quality earnings. This is evident through the compounding benefits of the growing renewal premium base and a clear preference for insurance risk by writing health and protection business. On both of these metrics, we have achieved growth of over 20% in 2017, which drives the overall results. It is by continuously improving our scale and enhancing our business mix that we are able to show such broad and repeated levels of growth replicated across country, channel and product. In asset management Eastspring has had another good year. The 18% earnings growth reflects a significantly higher asset base, which was up 20% on an average basis due to net inflows and positive markets. Although this was partially moderated by slightly less favorable mix of client AUM, as you can see in the slight reduction in revenue margin, the overall results benefited from the stable cost income ratio and a healthy contribution of £17 million from performance fees. With combined IFRS profits of £1.975 billion in 2017, our Asia businesses have exceeded their 2017 objectives and continue to generate high levels of growth with increasing quality and breadth. In the U.S., the accumulation of variable annuity assets continues to drive Jackson’s earnings. Average separate account assets increased by 17% to £125 billion, primarily due to strong investment performance, consistent with the rise of the U.S. and international equity markets in 2017 and another year of positive net flows. The remuneration choices of our commission based distribution partners continue to move away from upfront structures towards trail. As a result, the level of separate account assets under management is expected to have increasingly direct relationship with trail commission costs. Currently, roughly 40% of our commission based VA is on a trail basis. However, excluding these commissions, Jackson continues to lead the industry on administration expense efficiency, highlighting our cost discipline and lean operating platform. Overall, fee-based earnings increase by 12% to £1.788 billion. Earnings from spread based business decreased by 6%, reflecting the impact of the anticipated reduction in spread margins. This move down in spreads is due to both lower reinvestment yields and lower positive contribution from duration management swaps as they continue to roll off. We would expect these trends to persist, although continued upward movement in U.S. yields may help to reduce the speed of the decline. The recent U.S. tax reforms are relevant for all of our major financial measures but do not fall evenly across years or reporting metrics. So, to help you I have tried to summarize the major impacts together on this one slide. These changes are ultimately positive to Jackson as they should result in higher levels of retained earnings and capital generation, all else being equal. The 2017 year-end balance sheet, impacts primarily relate to a lower level of deferred tax assets. So, for IFRS, this reflects the lower corporate tax rate on the net DTA balance. For EEV, the reduction in DTA is outweighed by the positive effects of the more favorable tax rate on future profits. And on Jackson’s statutory capital position, the impact at year-end includes a combination of DTA calculated at the lower tax rate and the removal of the carry-back of net operating losses previously allowed. Notwithstanding this, Jackson’s obviously remains in access of 400%. The stated year-end statutory capital position does not take into account any estimate of the impact of required capital as at this stage the NAIC is yet to make public how it intends to incorporate tax reform into its assessment of capital. We expect a period of engagement between the NAIC and the industry to follow over the coming months, likely incorporating some of the other outstanding reform areas such as C1 asset risk charges. We will of course participate fully in these discussions and update you once this position is clearer. Going forward, we expect Jackson’s effective tax rate to improve by roughly 10% from around 28% to approximately 18%. This decline in ETR incorporates new headline corporate tax rate of 21% and a continued benefit from the DRD, which is worth about another 3 percentage points under the new tax regime. At a Group level, we expect the effective tax rate to also benefit and reduce to around 16% to 18%, going forward. This lower effective tax rate will be beneficial for earnings and capital generation over the long term. In the UK, our newly combined businesses have delivered a very encouraging performance with IFRS up 10% overall to £1.378 billion, emphasizing the benefits of its scale, distinctive investment capabilities, and well seasoned in-force life portfolio. M&G Prudential continued to work towards its transformation to a modern savings and investment business and is on track to deliver the £145 million annual savings we set out in August. In life insurance, core earnings remained in line with our expectations at around £600 million per annum with the 7% increase in the transfer from with-profits, offsetting lower in-force annuity profits, following longevity reinsurance transactions in 2016 and 2017. The higher transfer from with-profits includes the rising contribution from PruFund business which now accounts for 15% of the total at £42 million compared with 10% in 2016. Given the fast-growing scale of the PruFund assets, we expect it to become increasingly material to the UK results. Other movements in the life results are slightly higher overall than in 2016, and these comprise three main elements. First, a lower level of contribution from management actions as I flagged at the half-year stage; second, a one-off impact of £204 million as a result of moving the basis of our longevity assumptions from CMI 14 mortality tables to CMI 15; and finally, an increase of £225 million in the provision we set aside for the review of past annuity sales following confirmation from the FCA on the approach for assessing the cost of redress. Our provision does not include the benefit of potential reinsurance recoveries of up to £175 million. In asset management, M&G has had a great year, with external net inflows of £17 billion, at record levels, and external AUM finishing the year up 20% at a £164 billion. IFRS operating profit has moved up with these underlying drivers, benefiting from higher revenue, a small improvement in the cost income ratio, and higher performance management fees of £53 million. We have seen good results in both retail business where Europe continues to lead our progress and in institutional where we retain a healthy pipeline of future capital commitments on top of the net inflows that exceeded £6 billion in 2017. With this performance and a positive outlook, M&G Prudential is well-positioned for the ongoing transformation process and to begin the path to demerger. Moving to the rest of the P&L accounts and covering the remaining items outside the business units results, I have included within IFRS operating profit there are three main items to note. Firstly, the additional restructuring costs of £44 million relating to the M&G Prudential merger and transformation program; secondly, the £50 million cost of implementing the 11 platform across the Group; and thirdly, the additional interest costs of £65 million related to debt issued in 2016, together with currency effects. Within the non-operating results, investment variances primarily relate to negative marks on derivatives used to protect against downside equity market risk in the U.S. VA portfolio. These are in line with expectations given the appreciation in equity markets and consistent with the movements we saw in the half year. On an EEV basis, the positive offset of higher future fees from higher account values results in an overall gain, which is a better indication of the full economic effects. 2018 has been a more volatile year in the investments markets so far. Throughout this period, our heading program has performed as expected, generating positive, below the line movement at the lower point of the S&P, and we have no reason to change our approach in light of these recent market fluctuations. Including the impact of tax reforms already discussed, the gain on the sale of our U.S. broker dealer, NPH; currency effects on sterling strengthening; and the dividend payments in the year, shareholder funds has increased by 10% on IFRS basis and by 15% to £44.7 billion on an EEV basis, driven by operating returns. Moving now to new business. New business profits increased 12% to £3.616 billion with the broad mix of growth across each of our businesses. This was higher than the 6% increase in APE sales and includes the benefits of continued improvement in Asia’s mix towards better quality business with higher returns. As I flagged at the nine-month stage, the tailwind seen earlier in the year from the rising yields was no longer a significant contributing factor in the rate of growth by the year-end. Although the higher level of yields remain a positive for the overall economics of the business. In Asia, NBP has increased by 12% with health and protection contributing growth of 26% as we continue to pivot the business towards protection income, in line with our strategic focus. In Hong Kong, NBP was 8% higher and outside of Hong Kong, NBP was up 20%. And both agency and bancassurance channels recorded double-digit growth. Reflecting the progress we have made in this regard, the economics of the new business we wrote in 2017 are at their highest level ever. So, behind the sales performance, remains our focus on improving quality and economic returns, attributes that we continue to emphasize across the business. In the U.S., sales were largely unchanged on the prior year with growth in NBP, mainly the result of the lower assumed tax rate on future cash flows. Jackson continues to make good progress to position for the growth opportunities in the advisory market, building fee based platform arrangements with many of its major distribution partners. New business from these sources remains low by comparison to the traditional commission-based business but is accelerating and we are encouraged by the early progress made to-date. In the UK, new business trends remain favorable with stable economics and sales driven by individual pensions and income drawdown within the retirement account wrapper, which now stands for 81% for APE in these segments. The success of this business means that sales to the retirement account are nearly 2.5 times the peak volumes of retail annuities that we wrote in 2008. This demonstrates clearly the strength of our product proposition and the ability to adapt to external change and to capture the opportunity that this brings. How and where we invest our capital and how we manage that business once it’s on our books, has a direct correlation to the conversion of in-force value into cash and capital generation. To capture the underlying progress, I’ve analyzed out the expected return from the in-force life portfolios and the contribution from the asset management businesses. This highlights that each of our businesses had generated growing contributions as expected, given the growth in the life portfolio and the strong year for our asset management operations. After investment in new business, the underlying movement in 2017, the forbearances and restructuring costs was an increase of 9% compared to 2016. Moving to the breakout boxes on the right, contributions from assumptions and experience variances were in line with 2016, after adjusting for the one-off contribution from the contingent reserve financing in our U.S. business in 2016. We continue to reinvest a significant proportion of our free surplus in new business, given the returns and growth potentials that our superior marketing positions and capabilities provide. Asia remains the primary destination of our new business investment, accounting for over half the total in 2017, reflecting the relative scale of the opportunities there. The box on the lower right of the slide, you can see the increased investments in the UK and Europe. This was primarily due to the higher level of new business reached in the period and remains highly efficient, given the attractive returns available. Under Solvency II, this includes amount that relates to the with-profits business, reflecting shareholders participation in the downside scenarios of some 1 in 200 stress events at current interest levels. In the context of PruFund having growth in flows £11.8 billion this year, this is a fraction of what would be incurred in writing new annuities with the payback that is over three times faster and returns that are over four times higher. The benefit of the recent spends in PruFund flows is not starting to emerge, more significantly in earnings, as I covered earlier, and validates our strategy to prioritize growth in this area. My next slide shows how cash and capital generation moves through to central cash. The strength of the organic capital generation comfortably funds new business stream with the majority of what remains remitted as cash from the life operations to the Group, and the balance used to reinforce the capital position of our local businesses, as they continue to grow the scale. Chart on the right shows our cash remittances of £1.361 billion from life operations and £427 million from asset management were used to cover the growing dividends and corporate and other costs, such as the net retirement of debt in the year. We continued to run the Group to a robust Solvency capital position with the shareholder Solvency II surplus of £13.3 billion at the end of 2017. As expected, given the growth in the business, both own funds and the SCR have increased over the period but the scale of the surplus is also increased and the cover ratio remains largely in line with the prior year at 202%. Our strong Group Solvency position is replicated in the local regulatory level 2 with capital well in excess of regulatory requirements. The impact of U.S. tax reform is the main reason for the reduction in the U.S. RBC ratio, which I’ve already covered. However, I would also remind you that a U.S. RBC does not include the benefit of swap gains from use of the permitted practice, which if included, would add another 45 points to the yearend ratio. My next slide provides you with usual bridge between the 2016 surplus and the 2017 position. Operating capital generation of £3.2 billion remains the key driver of the change, which has helped to absorb the adverse day one impact of U.S. tax reform as well as funding the dividend payments, and sub debt redemption. In addition, management actions relating to the UK have added £0.4 billion. The sensitivities on the right hand side of the slide continue to demonstrate that our Solvency II position remains resilient to market stress while retaining the upside potential from favorite market position. We continue to hold significant levers within the Group and at business unit level can manage external market effects combined with appropriate headroom in our Solvency surplus to access a buffer when required. It is a strength of our operating capital generation and the risk management practices that we have in place around this that have enabled our businesses to successfully navigate external economic stresses without disruption to the underlying businesses. Now, my final slide on the 2017 results, I just wanted to take a step back and provide a view of the major drivers of earnings growth and the quality in the period. It is truly these measures that generate the consistency of the Group’s financial progress, support the resilience, and sustainability of earnings through the economic cycle and provide the scale which benefits our operational and strategic delivery. In Asia, our growing base of recurring premium business means we start each year with a clear earnings base, which compounds for the subsequent year of new regular premium business. As I have already highlighted, our strategic emphasis on health and protection is also increasing the proportion of earnings derived from insurance income, another indicator that our growth is a high-quality growth. In the U.S. and in the UK, it is the distinctive structure of the product proposition and the performance of the funds available to customers that continues to underpin net inflows and appreciation in asset values on which our fee earnings are based. Across each of our businesses, these key drivers are growing well. Taken together, the combined effect of continued and consistent operational delivery is highlighted in the 15% uplift in embedded value to £45 billion, at the end of 2017. Now, stepping away from the FY17 results and turning to the UK annuity sales for couple of moments. This is a major step in the continued derisking of the UK life business, representing the transfer of around a third of our shareholder-backed annuity portfolio. This is a positive development with attractive terms achieved. It validates the quality of our UK annuity portfolio and is another example of our ability to execute well. This sale will ultimately see a reduction in capital, held against both credit risk and longevity risk. Credit risk is the larger component of this where we have reduced credit exposure to UK, PAC on a Solvency II basis by around 30%. On completion of the Part VII transfer, we estimate that the sale will lead to £1.3 billion reduction in the SCR and £0.2 billion decrease in own funds, resulting in increase in tax capital surplus of £1.1 billion. Of this, we expect to recognize £0.6 billion at 30th of June under the reinsurance agreement. The capital benefit from the sale will be retained to support the UK demerger process. It puts the solo UK regulated insurance entity on an extremely solid capital footing at the outset of the demerger with the pro forma cover ratio of 150% as if it was all completed at the 2017 yearend, including the transfer of Hong Kong subsidiaries. In reality, we would expect organic capital generation over the period before completion to build this number further. This provides us with maximum flexibility as we work to optimize the capital structures of both entities prior to separation. While the impact on EEV is less than 1%, on an IFRS basis, we expect to occur a loss on sale of up to £500 million in the first half of 2018. Going forward your estimates for M&G Prudential’s IFRS profits should recognize that the annuity portfolio being sold contributed approximately £140 million to the 2017 UK core life operating profit of £597 million. This transaction is a significant milestone for M&G Prudential as it continues to transition towards a derisked business model and an appropriate balance of risk exposures. Now, it’d be remiss of me not to share with you some of the high-level steps we will be taking to effect the demerger of M&G Prudential. Although many activities and actions will run concurrently, as you would expect, the exact timing of each will be the subject of various factors, including regulatory approvals, the Part VII process and for the debt management operations, suitable market conditions. We will look to minimize any associated costs during this period. And looking ahead, we will provide you with updates as we move through this process. To position the businesses with separation, we will optimize the capital structure of each entity to ensure they’re both appropriately and robustly capitalized. It will necessitate the creation of a new HoldCo for the UK operating companies and the realignment of the Group’s debt capital position across the Prudential PLC and M&G Prudential entities. This may include redemption or debt liability management for issued debt. As you will be aware, many of our Asia businesses started life as branches of the UK with profits fund, which provided a highly effective approach to launch in new territories. Over time, as they’ve grown and scale and to align ownership with operating and regulatory structures, these operations have moved under the ownership of the Asia business as subsidiaries. The last of these is Honk Kong. As the largest and by far the most complex, has been more appropriate to adopt a two-stage process. We completed the first stage in January 2014 with the domestication of the Hong Kong branch; and for the second stage as part of the M&G Prudential demerger process, we will now accelerate our plans to transfer ownership from the UK life business to our Asian entities. At this stage of the process, we have had very close engagement with all stakeholders, many of which are firmly in motion. So, in summary, a very encouraging financial performance during a year of significant change to the Group, alongside continued positive progress in the key earnings drivers of our business and 8% growth in the dividend. These results are a demonstration of the outcome of the strategic decisions over many years, the scale and positioning of each of the businesses in the chosen segments, and the discipline with which we execute the growth opportunity and to actively manage our existing business portfolios. By both growing and enhancing the quality of the business that we write, while remaining and maintaining a robust capital position, we are simply reinforcing our confidence in the financial outlook for the Group. This resilient underlying position with all of our businesses performing well shows that we begin the demerger process from a position of strength, following which both Prudential PLC and M&G Prudential will be better placed to maximize their value creation potential. Thank you. And with that, I hand you back to Mike.
Mike Wells: Thank you, Mark. So, in summary, again, strong growth in Asia, the balance of the business, the U.S. continues to deliver and probably the UK, strong performance underlying the rationale for creating a simpler, more-focused strategy there, and again, adapting the structure to maximize the opportunities for all of our businesses. So, what I’d like to do, if we could, is invite my colleagues up to join me for the Q&A. And then, we will address any individual concerns you have, questions you have in just a moment.
Q -Jon Hocking: This is Jon Hocking, Morgan Stanley. Thank you. I’ve got three questions, please. Firstly, thinking about the go forward pre-plc business, so U.S., Africa and Asia. How should we think about binding constraints on capital for that business? I assume, you’re going to be trying to get out of the Solvency II framework, but I guess the advantage of Solvency II did have the Asian business, which you can get diversification benefit, you could zip up some of the best [ph] in the health and protection business. So, I guess, I am asking how do you harvest the diversification benefits across the go forward growth business is the first question. The second question, just looking at Jackson’s capital. There was a lot of moving parts I guess in that business and that market at the moment. The sort of 400% or so number you’ve got on the headline basis, you got a few things that come through, you mentioned C1 changes. I guess, we still haven’t seen the impact of the new VA framework. So, can you give some color please in terms of where you think the RBC ratio will settle down from the market? And then, what impact there is on the ability of Jackson to remit capital back up the group going forward? And then, the final question just on China, interesting to see your views on what’s happening in China. There’s obviously a lot of moving parts at the moment with the merger or the regulators et cetera. The regulatory environment seems to be quite fluid. Can you talk a little bit about how you see your business evolving and how well-positioned you are?
Mike Wells: I think, we’ll divide these up. So, binding constraint and capital, Mark, why don’t I start and you finish. We’ve always said that in the -- outside of the UK, the binding constraint is the local capital regimes. It’s not a -- if you think of dividend, fundability of capital, that’s the driver. And where the other jurisdictions recognize Solvency II, their primacy is they are on regulatory regime and how we treat it. The other thing that should be -- I want to remind is, we don’t run any of the businesses to regulatory minimal capital. There isn’t a jurisdiction we do business in that they don’t look to us to maintain what is almost the AA level, if you were going to a put a rating agency mark on it. But, if you want to have long term relationships in these markets with the regulators, they’re much more holistic, much less resolution recovery focused than you see in western markets, particularly -- obviously in Asia. So, they want to see reinvestment in community, they want to see how we treat clients, they want to see our charitable activities, and they want to see a well-capitalized foreign entity again competing with domestics in every market. So, we probably could bring some of them down closer to regulatory. But, if you want a long term -- if you want a 90-year position in the market, they have to see you as committed and not as a foreign player that comes in and strips as much as they can at every year. So, there is a lot of reasons to maintain well capitalized firms on the local basis. And then, those roll up to Solvency II. We never set, as we’ve discussed and debated early on, our dividend policy of Solvency II. I still don’t believe that’s the prudent metric for us because it is not a cash metric; it’s a capital metric. So, it doesn’t affect us on dividend, it doesn’t affect the financials if you think about it from a dividend point of view. There is a -- so, the intent is to maintain a very well-capitalized international business with capital levels that rival anyone we compete with. You can look at that from -- as the regulatory college and our key regulators get together and that’s just starting now. They’re aware of it, but they’re not -- that is work that is in its early days. So, I can’t -- I’m not going to commit to you what that model, the final model is going to look like. But, our intent is the board and management of the company is to maintain highly capitalized, highly rated entity, similar to our current position that’s effectively in compliance with all international capital standards, because we’re just too big to not be. So, I got asked earlier this morning from someone that’s in media, does G-SIFI matter. It doesn’t matter. It’s not been a binding constraint for us. We understand the framework. We understand the framework is changing. This is not about adjusting a ownership model to adjust to a regulatory or a capital model. We’ll maintain well-capitalized businesses, heavy liquidity; our in-house bias will still be cash -- capital as we’ve discussed many times. It’s a cash flow testing. And we’ll share with you more and more metrics on how we do that as I think we’re pretty transparent on how we stress the businesses. Did you want to add anything to that?
Mark FitzPatrick: The obvious point is that we’re going to continue to be subject to Solvency II until the point of demerger. So, we will continue to run the business and be very focused on that. And then, over the course of that period, as we discuss with regulators in terms of what new capital position the capital model will be, we’ll then be in a position to communicate that for you.
Mike Wells: Barry, on Jackson’s capital?
Barry Stowe: Yes. You’re right, Jon. There are a lot of moving parts. I mean, the principal impact that we had this past year was tax reform. So, that and I think you called that out Mark in your comments, so that’s over $600 million impact on free surplus generation. That’s a onetime hit. So, I would say to you broadly as the risk of being too forward-looking, I would say, you probably should be optimistic about Jackson’s ability to continue to generate cash.
Mike Wells: Chad, did you want to comment on future direction of NAIC and some of their work? 
Chad Myers: I would say, there is a couple of things we know that are coming down the road. We don’t know yet as to timing or the magnitudes, we do have the NAIC. They will presumably react with respect to the denominator portion of RBC. We don’t know yet what the magnitude of that will be or the timing. They have not actually formed the group yet to do anything about that. They already have an ongoing process with respect to the C1 factors that’s expected to come in, in 2019, our hope would be, and we will have this conversation with them and when they have the appropriate folks in place. We think those two are best to put together because there are interactions between their view on long-term default rates and taxation and recoveries to come through there. So, hopefully that would be come together; if it does, that would be better, that would be in 2019 as it came together, you have the potential for 2018 denominator 2019 C1 factor and we think 2020 Oliver Wyman. So, there is things -- or NAIC Oliver Wyman project. So, there are things coming down the pipe that will presumably -- we don’t know the numbers but will presumably put downward pressure on the RBC ratio. That said, I think everything we’ve seen suggests that we’re generating capital, we don’t have anything at this point that would imply that we don’t -- can continue to support dividends the way -- at the level we’ve been remitting. I hope that answers the question.
Mike Wells: And Nic, on China?
Nic Nicandrou: Okay. So, on regulatory development, yes, we’ve seen the creation of a new regulatory body to regulate, both insurance and banking. I mean, look, we see this as outworking of the decree, if you like, at the October Party Congress, which set that activity objective for the industry to return to its core. In other words, go back to its derisking purpose, play a role in the financial development of the economy, a source of financial stability and in time, improve the provision of health services and also care for the elderly. So, I think it’s step one. I think, the other reason why this was come together is to ultimately implement the liberalization of the sector as well, in order the regulators need to build up their regulatory capacity in order to regulate the sector that potentially more than 49% can be owned by foreign companies. So, this is pretty much in line with the direction that was set back in October. We don’t think it will impact our business in the short or medium-term. If anything, kind of stronger regulation is good for businesses such as our own. Now, should I give a business update on China more broadly and the opportunity? So, again, with the benefit, I guess of spending more time there since I addressed you at the investor conference, I’m kind of even more excited about the prospects in that market, both on the life and asset management side, and our ability actually to harvest those prospects. So, now, you’ve heard me talk about the opportunity, I can put some more numbers on that now. China is now the third, officially the third largest market in insurance in terms of premium income, it’s got to be kind of US$500 billion levels. If you look at the insurance assets that are managed in that market, it’s got to the US$2 trillion level. US$2 trillion is 20% of GDP. And in most developed markets, the penetration of insurances assets get to be something of the order of 270% of GDP. So, that’s yet another imitation of growth. Out of the 1.4 billion Chinese today, only a 115 million have insurance, any form of savings or insurance. And typically they would hold about 1.5 policies per individual. Again, you contrast that to Japan, which is the world’s second largest market and typically on average people hold seven policies per person. So, that just talks to, if you like the opportunity there. And one final stat for you, a lot of the development of the sector has been focused on savings. Health is becoming a big part of that market. 32% of expenditure is out of pocket. You compare that to low single digits in Europe. And another developing statistic is that a quarter of the world’s diabetic population which is around 114 million people, are based in China. So, the spend just for diabetic treatment is about a US$110 billion. All these are opportunities for companies like ourselves to play both in the savings and the health space to play a role. And on the asset management side, the market at the end of the ‘17 was US$1.8 trillion. That’s about 15% of GDP. Again, in the EU, asset management -- retail asset management is 75% of GDP, so, six-fold increase. So, I think China, when it comes to asset management flows, will just dominate those in the next few years. So, what have we done in the course of the year for our business? I think, we continue to broaden on the life side of footprint and to grow into that. And that’s -- that has a compounding effect on the numbers, on the financials of our business. So, we expanded -- we added another branch, another province. So, we now have 18 in total. We added the Sichuan province. And we’re delighted to have such a broad footprint across China, because even though China may be liberalized in terms of shareholder ownership, there’s nothing to indicate that the rate at which they’re approving new licenses in new provinces will change. At the same time, we added three more new cities, so we’ve gone from the 74 that I spoke to you back in November, to 77, as we expanded our presence in the Henan province, which is an important province because it’s got 94 million people and it’s the fifth largest economy in China. We’re growing out of agency distribution. We’ve increased the recruitment rate by 48% since last year. We now have 44,000 agents; that’s twice as many two years ago and four times as many four years ago. And the sales are increasing at 46% on the agency side. On the banking side, we’re increasing even faster at 51%, as we leverage more, the 4,000 strong branch network that we have across -- that we distribute across that business. On the quality side, we’re building the health and protection piece very fast, given some of the statistics that I mentioned earlier. 41% of our sales in China are health and protection. In fact, even a bigger, a richer proportion of the mix in health was written in the second half in terms of heath and protection, more than 50%. This is driving the new business profit up and you’ve seen that doubled. Building up digital capabilities is one of our most modern businesses both at the point of sale where we can issue 8 out of 10 policies that are issued are in 30 minutes. A lot of work on claims, 99% are processed digitally, 17 services done on a need basis and all of that is -- and lot of the queries now being dealt with chatbots generally, 20% to 30% of all traffic from agents and customers are now going through these chatbots. And it’s important in a country like China, given the importance -- given that it is leading the digital economy. I can give you two more stats on that. 35% of all financial services….
Mike Wells: We’re ordering Chinese food for lunch here in a minute.
Nic Nicandrou: 35% of all financial services customers will use digital means to transact. And the payments that are made using digital platforms in China, 50 times the level that you see in the U.S. So, unless you are kind of highly automated and digitized in this market. And this business is pretty much leading the way within our portfolio, very excited about our prospects. Thank you for your question.
Mike Wells: Okay. What other number you did leave out? [Indiscernible] actually rated the business number, which is no small feat.
Blair Stewart: It’s Blair Stewart from BAML. I’ve got three questions on China. Only joking. I do have three questions, though. The number, is the demerger contingent on completion of future UK annuity deals. You’ve still got two-thirds of the book. And have you got the bandwidth to deal with multiple processes? And secondly, if those annuity -- future annuity transactions do take place, anything like the one you’ve just announced, would that imply the excess capital would build up in the UK business? And if so, what would be the plan? Maybe too early to talk about that. B but the main point is, would there be excess capital emerging in the UK but just if those annuity books were to go as well? And thirdly, just a quick one on the U.S. RBC. Chad? can you remind us of the organic rate of build and RBC points, given that you’ve just seen a significant drop? What’s the organic rate of build, let’s say before paying any dividends to the Group?
Mike Wells: So, on the demerger, no, it is not contingent on any future management actions. It is to Mark’s point though, we need the cooperative debt markets as probably -- if he said what’s the variable and we need a court system to approve a Part VII. Those two are outside of our control. But, we’re confident on the debt side and we are we were reassured I would say on the Part VII, I don’t think there is any obvious barriers given the process and the regulatory support. Jon, do you want excess capital?
John Foley: So, well, on the question of will we do more, we’ll keep that option alive but we have nothing on the table right now. It is a big deal and we only closed at 2’O clock in the morning. And that’s why David’s snoring away at the back there. But, it’s the biggest -- it’s been done, and I’m very proud of the team for doing it. In terms of capital, well, we have to remit our capital to Group. So, they’ll tell us what to do with it. But, we take the annuity book like the rest of our business. We will evaluate it, what’s best for shareholders, what’s best for our business in the longer-term and for the moment, there is no plans.
Mike Wells: And Blair on bandwidth, I think, if there is one thing we demonstrated this year, it’s bandwidth. I think we tell the teams endlessly, it’s business as usual first, and all these projects are sort of nights and weekends. And I think we can -- if we chose to another tranche, we could. But it is a -- it would be more about optimizing the capital for the new entity. And then, if it’s excess, it’s excess. And we’d look at distributing as we always would. Chad, on RBC capital generation?
Chad Myers: So, the underlying tends to be around on that basis, around a $1 billion is let’s say the underlying capital formulation that we typically would see. That said, we are in a position right now where stat reserves are floored out. So, we get a little bit of an asymmetric dynamic going right now in terms of no real offset for -- no economic offset going on in the stat reserves for the hedges that are coming through which has tended to drag, call it £300 million right now, run rate. So, the underlying run rate is closer to £1 billion, £1.1 billion, but there is a drag right now, because where the markets are. It’s actually a good problem to have but doesn’t look as good on the numbers.
Blair Stewart: [Question Inaudible]
Chad Myers: So, $1 billion would be equivalent to about 100 in RBC points.
Blair Stewart: [Question Inaudible]
Chad Myers: Yes, I’d say, it’s an equivalent number.
Oliver Steel: Oliver Steel, Deutsche Bank. I’m going to try again on the UK. Is the $1.1 billion release, or improvement in surplus an approximate figure that we can take for future tranches of $12 billion, if that happens? Secondly, within the Solvency ratio, the UK insurance business, how much debt is effectively injected down as presumably Tier 1 capital from the center? And then, the third question is on M&G’s capital position. What is M&G’s current capital requirement and how much capital has M&G got within the business?
John Foley: Yes. So, no, Oliver, you wouldn’t be able to extrapolate capital release from book across the whole book, because what we would I think have loved to have done would have been to slice the book vertically and sew components of it. You can’t do that. We’ve broken the book into various cohorts, if you like. And they have been sold all to one counterparty, but they could have been sold in different blocks to different people and they will attract different prices. The thing is that it depends on the market as well at the time. So, if you look at where we’ve done this trade, it’s a different price to where other trades have been done. So, there are that combination of factors. So, I don’t think there is any ability to read across directly. 
Mike Wells: UK debt, Mark, do you want to take that?
Mark FitzPatrick: So, in terms of the UK debt though, at this stage what we’re going to look to ensure is that each of the businesses are well-capitalized and well set up for success in the future. We will be able to share with you in the future and due course, more information about what that capital structure would look like. But at this stage, it’s too early to say.
Unidentified Analyst: [Question inaudible]
Mark FitzPatrick: At the moment, no.
Unidentified Analyst: [Question inaudible]
Mark FitzPatrick: Yes.
Mike Wells : And then M&G capital, Anne, do you want to do that or Mark?
Anne Richards: The number, I’m just not sure what we’ve actually said publically on the number before.
Mark FitzPatrick: I don’t think -- it’s not a particularly material number at all, actually. 
Anne Richards: Not in the grand scheme of things.
Mike Wells: So, that’s a no.
Greig Paterson : Good morning, everyone. Greig Paterson, KBW. Three questions. One is, if you look back over time, as I was discussing earlier on, the Asian bancassurance deals have been financed by the [indiscernible] group, top of the head, it’s £3 billion over the last five years, going forward, just through new deals, possible new deals. So, in terms of -- I was just thinking about free capital generation in Asia, including that item, what sort of number do you think we should be budgeting annually for that number? I have something like £300 million, £400 million per annum. I might be wrong. Intertwined with that question, are there any currently any contingent liabilities between Asia and any other parts of the Group because they used to be? Second question -- that was a two-part one. The second question is like Old Mutual heavily incentivized their management to do separation. I think cumulatively, this year got £9 million, something like that…
Mike Wells: Can you show me that later?
Greig Paterson: Are you going to modify your ultimate schemes in any way before the separation? 
Mike Wells : Okay. So, let me go to a couple.
Greig Paterson: Last question.
Mike Wells: That was three.
Greig Paterson: It was a two-part. Contingent financing in the U.S., I was just wondering what the -- contingent reserve funding, what capacity is there to do, how much extra capital can be released into the RBC ratio through further tranches of that? 
Mike Wells: Right. Let me do the first couple. So, we’ve never disclosed -- I think, the most of bank transactions have confi agreement around them. So, we’ve not gone through the specific numbers and we don’t give forward-looking capital creation statements. Although you can see from the metrics on here, our expectations on the back book and the percentage of recurring earnings, which I think gets you a lot a way to your question from the materials we have distributed. There is no management incentives tied to the structural changes in the Group. We will have to adjust LTIPs. We’ve extended out, say, in the duration that we go -- obviously, as awards go past the separation date, we’ll have to work with our Board and our M code to have those delivered those, arguably, probably the dual shares. But, there is no financial incentive for anybody sitting up here to do this outside of their normal responsibilities as stewards of the business. And then, you asked inter company, which I don’t think we’ve done yet. I think, that’s probably best way to come back with it, with all this at once for you. Anne too will look in the pro forma. So, I think that’s probably a fair look at it, but it’s not material.
Anne Richards: [Inaudible]
Mark FitzPatrick: Not much. [Inaudible] So, there is nothing else there in contingent financing. 
Arjan Van Veen: Thanks. Arjan Van Veen, UBS. If I could ask two question, please. One, on the timing of the transaction and what some of the key hurdles you need to overcome to make it happen? And as cited before, with some of the key things, I suspect the main one is the Hong Kong transfer of ownership. And I think in your release I saw data around which is ending 2019. Actually, the Part VII transfer is within the UK. So, I wouldn’t necessarily think that is a showstopper, unless you want to move capital out of the UK. So, just maybe bit more color around where you really need the approval to make for instance some sense of timing? The second one was the just on the Hong Kong RBC quantitative impact study that came out recently. My understanding is, your portfolio would be quite benefited by the proposed changes, so if you can maybe talk a bit about that and how material it could be for you?
Mike Wells: So, you are correct, the long work stream in the project is -- the transfer Hong Kong is actually -- we’ve discussed that with all our key stakeholders, and we don’t anticipate -- we’ve got a work through all of our granular details but we don’t anticipate any barriers. It’s a lot of work to get the regulatory models and all of the various stakeholders sign off on it. But, everyone’s aware of the transaction. We’re not surprising anyone with this. We’re not -- we’ve effectively pre-cleared the activity with all the key regulators. So, again, we are quite responsible for following your processes, but we think that’s a work stream, not approval issue. The Part VII is a UK issue. It is dependent on PRA bandwidth and court bandwidth. So, we don’t want to try and anticipate in front of you that we can manage. The PRA, we have a good relationship with; we know how that would go and they’ve been briefed all the way through this process and supportive. The court side, we know what’s best practice. We know what outside firms can -- it’s very hard, our General Counsel is here, at the right way to do that. But, we are getting into a different space. And I think we have to be conservative on our estimates there. But those are the two long ones. And then, again, on the regulatory front, we’ve got to get all the regulators on site briefed ready to go in their normal course of meetings. So, you probably have couple of meetings each. So, that’s got a good nine-month plus window to it too. So, that gets you to the timing. And then, on the financials, as I mentioned earlier, we anticipate we would go off of half year, or full year results. So, we have audited financials to base the materials off of. So, we are not incurring any unit cost to do that. We are trying to keep the frictional cost of this to a minimum. So, it’s a -- that would define timing as well when the next window would be. But, we will keep you briefed on those as they occur. We will keep the releases -- we will be very public on the work streams. But, it’s work dependent, not an ambition calendar wise. The other question…
Nic Nicandrou: The quiz in Hong Kong.
Mike Wells: The quiz in Hong Kong. Thank you.
Nic Nicandrou: Well, it’s too early to draw any definitive conclusions. The quiz that was undertaken kind of was only partial. Not all the parameters were tested. For example, they didn’t test allowance for diversification; they didn’t include any risk margin. So, that is all to come in subsequent quizzes. And of course, their level of a liquidity premium that they included in the quiz may well -- or matching adjustment for one to another expression may well change. So, there will be another quiz in the course of 2018 and probably another one after that. We are looking at implementation in 2022, some time away to align with the potential introduction of IFRS 17. So, we got those two changes to look forward to. But, as to your point, whenever we move to a more risk-based regime in any parts of Asia, given the nature of what we do which is a regular premium with a very heavy health and protection content, then we see that providing tailwinds. We saw that in China as we moved to CRS [ph] with our Solvency level increasing from kind of 150, 160, 170, to the high 200s, to 90% at the end of 2017. So, too early to say, but directionally should be positive.
Andy Hughes: Hi. Andy Hughes, Macquarie. Three questions per company. So, first one is just to understand the debt structure because that seems to get more complex bit about what’s going on. So, if you issue placement securities in the UK, would you still get the grandfathering or would you just -- are you saying that any new debt raised in the UK would have to be Solvency II qualifying, and you’d lose the grandfathering to the switch? Second question on the holding company for the remaining business, particularly all the debt stays in the remaining plc business, which is no longer on the Solvency II. So, presumably any future debt you raise post the demerger will be senior debt. So, does that kind of mean as there is incentive for the sub debt holders to kind of switch and that’s one way in which you can get people to move from the plc into the UK business? And then, third question is on Malaysia. Obviously, there’s a need for planning by the end of June to sell down 30% of the Malaysian business, which I guess could be a £1 billion. And so, how much do you think it might be, and are the tax implications from that, just comment on the usage of that. And while we are on potential disposals, are you still fully committed to the two Indian businesses getting the valuation there? And the last question I had on the U.S.
Mike Wells: Well, it’s six. Let’s call it six, okay?
Andy Hughes: Yes I just wondered if Jackson had to diversify its product mix through M&A as a result of the demerger process. So, whether you’re going to keep that as it is?
Mike Wells: So, Mark, do you want to start with debt?
Mark FitzPatrick: So, in terms of the first two debt questions, Andy, I’m not really in a position to say much more than what’s said in our release in terms of the debt, because we want to be able to have a conversation with everybody, we want to be able to have conversation with the market in terms of what we do, and how it is that we’re going to do. We haven’t had any conversation yet in terms of the regulators, in terms of what we might do around grandfathering, Solvency II components. So, I think we would look to have those conversations and be able to give you an update in due course around that. And therefore, and that would also be the answer to the question in terms of the future debt and the senior debt. I think, we’ll be able to give you a level of color about that in due course but at this stage just wanted to give you a sense of the fact that the underlying position is one of ensuring that both entities are going to be well-capitalized, strong, set up for success.
Mike Wells: Nic, do you want to discuss the conversations with Bank Negara and Malaysia?
Nic Nicandrou: Okay. So, as you know, Prudential today enjoys kind of a 100% of the economics of our conventional business, even though kind of the law suggests that foreign ownership -- foreign entity ownership is limited to 70%. That’s not unusual. We’re not unique in doing that. So, our ability or otherwise to continue to operate on this basis is under discussion with the authorities. We don’t have an update for you at this point, but we hope to be able to update you shortly. I mean, I’ll go back to what Mike said. One of the things that is great about this Group is our ability to adapt to new situations. And whatever happens in relation to the level of ownership that we would have, we will remain very-focused on driving value for you, our shareholders. 
Mike Wells: Do you want to discus India as well?
Nic Nicandrou: India, I mean, we like India. I gave you lots of stats earlier for China. I could do the same, and I will. For India, you have sizeable population, 2.8% penetration. On the insurance side, it is predicted to increase to 3.9% by 2025. Protection gap of $8.5 trillion, 60% of healthcare costs paid out of pocket, and you have 1 billion out of the kind of 1.4 billion Indian not being covered from a health perspective, on the asset management side, retail fronts, I mean that’s even more nascent. It’s $350 billion. About 12 million kind of people in India owned retail asset management funds is 12% of GDP. This is both sides are likely to grow. And we have a good presence. In the life company, we have a player which has around 13% market share; it’s growing its sales; it grew its sales last year by 26%; it’s growing its market share; it’s well balanced by reference to both product sets and distribution; growing it’s distribution for us and doing more through the 4,000 or so ICICI branches. And on the asset management side, we have number one player there, again 13% market share, today managing of the order of I want to say around 17 billion sterling on an AUM on a 100% basis. So, very strong distribution platform. And there are many very highly performing funds. And the good thing about the asset management side is we can own 50% which is a great place to be. So, we like the country and the opportunities to do more are obvious.
Mike Wells: And what I would add to that -- we’ve down there together earlier this year, 20-year anniversary for us there. When we talk about being active managers of the business, it’s not trying to time the share price on the public piece of the life; it’s the decision is more is that a market we want a an earnings and capability positioning over long haul. And if we do what structure can we own that in and then how good we are at managing that structure, and that’s more of the lens. So, last time I was there, I heard some of the multiples that people were doing around and asset managers, what it tells you is everyone is trying to get what we have, as someone is going to pay these quite impressive -- they are paying a fortune at this point in time for an entry point because they believe in the future. Now, do we believe it, do we have a same view? We actually have a -- we think as a Group, we think as a Board that India is a part of our future. So, the question is from an earnings point of view, from a capability point of view, for products distribution how do we want to do that, not do we think this is a best share price for the LifeCo or -- and again, there is restrictions in what we can and can’t to do there. It’s a -- the market favors a bit the domestics. So, it’s a balance. But, we like India. And I’d say if you are looking at it, we’re long.
Andrew Crean: It’s Andrew Crean speaking. I just got one question. You were talking about concluding or the Board concluding that the UK’s plc was not the logical owner of the UK business or wouldn’t be fairly soon. Can you go through the parts of that decision, and why the thinking would not apply also to the United States?
Mike Wells: Yes. I think, again, it’s multidimensional. It’s not a single -- that was not the reason that we’re -- sole reason we’re divesting. If you look at it and say, go back to the other comment I made about what is the business unit getting from the Group, is there fair lens, what is the shape of our earnings going forward, what’s the for capital allocation to earning. I mean, all these lenses are applied. And the things we thought that had the most leverage, management focus, the alignment of the capital as you see moving Hong Kong and getting the quality capital, the quality up, the quantum down, therefore the return on capital metrics better and how does that look in the overall group, and how does it look in its relative market? It looks fantastic in its relative market. It still has to compete heavily with the other business units in return and it’s just a function where it is. It’s a more cash centric earnings, which is a good thing, given it’s the UK and the dividend demands of a listed entity here, and the market is more mature. So, the earnings characteristics of stability, currency, things, they have a different appeal. So, one of our views is as investors you may want to choose those characteristics, not just the absolute return on the earnings. That may be part of your decision. You want pound denominated, you want less impact from a political statement in Asia, whatever, or you are an emerging market portfolio manager and you want more emerging market earnings and the characteristics to come with that and the waiting in the UK diminishes that. So, all these things were part of the decision. The best part of the decision was there was nothing to solve for, and probably the most difficult part. So, there isn’t anything broken. They don’t need -- there isn’t a part of the asset management business isn’t developed or isn’t a part of distribution, there isn’t part of the skill set, there isn’t an issue on management. So, it’s the why now was one of the most challenging because it’s working very well. And if you think as stewards of the shares and the capital, that is the right time then to do it. We shouldn’t wait till something isn’t the way we should -- isn’t the way want it and let somebody else fix it. That’s -- I have seen that argument dozens of time. You have seen it play out in the U.S. recently. So, this isn’t a good bank, bad bank, this is two good businesses. And we think that that’s from a stewardship point of view the right time to make that call. So, this is a long strategic process; it started a dozen years ago and it’s evolved. And look, how it’s been in the U.S. in various times. I think the fundamental on the international businesses because you are -- do believe they are sharing our skills, capital, diversification benefit? The answer is yes. Do we believe what the U.S. knows about asset liability management, retirement, those things can benefit our Asian business, where they are going? Yes, retirement will be the next frontier in Asia. It’s already emerging in certain markets in Asia. And so, there’s capabilities. But, we will come back to you in Singapore with a more clear look at some of the things that we want to do together with them. But, I would think of it as good diversification benefit, good capability sharing, future product, if not format capability sharing. Even in some of the -- we have a few markets in Asia where there is pretty robust retirement plans. And government of Singapore is a good example. Still get asked about supplemental retirement plans when you talk to people there. There is savers and they want to see -- they like some of the products they see elsewhere. So, there is a lot of markets that we can do things we haven’t done yet with capabilities we have in Jackson. Andy asked a question about diversifying Jackson. There is not a U.S life company, board, CEO that wouldn’t kill to diversify in Asia with the footprint we have. I think that’s a fair statement. They would -- so, this gives us a great diversification, U.S. exposure, leading position in retirement income market and growing in the U.S., leading positions in majority of our markets in Asia. We like the combination. And yes, there is more we can do in the U.S. And we keep looking at different things.
Ravi Tanna: Ravi Tanna from Goldman Sachs. And I have three questions, please. And the first one is on the Asian business and strategy there. I think, you alluded to some of it just now. But, I guess, there is a lot of competitors that you just referenced, both in the U.S., in Europe and also very large place in Asia who are looking to expand their scale in the Asian market. I’m looking for good quality franchises. So, can you talk to us a little bit about the thought processes around were one of those companies to approach how you would think about that as an eventual outcome, given the demerger that’s currently going on, please? And the second one is on the Pru, M&G Pru go forward strategy. I suppose one of the areas that the business is perhaps arguably subscale is on the distribution side and you don’t have retail investment platform where many of your wealth peers do. I was just wondering if you could comment about whether there is any ambitions to expand product or distribution capabilities, please? And the third one was just, not put the – belabor the debt questions, but maybe what would be quite hopeful I suppose as to understand the leverage capacity and so not context. I know you talked about 500 million write down to equity following the annuity sale, but could you just please remind us what the IFRS for this equity for the UK entity is, please? 
Mike Wells: So, the housekeeper sort of question. Again, without putting a number, we think the two businesses are worth -- we think in our markets, they are pretty large. And so, is there any greater risk of Pru plc being acquired with or without M&G Pru, a couple of firms that might be capable of doing it. I don’t think the additional value of M&G Pru in a model would have made that big a difference in their question. And the ones -- I think [indiscernible] known for doing hostiles. It is always incumbent on us as a management team to demonstrate we’re the best stewards of the business and that’s where we get up every day having to recognize. So, can we run it better than them? That is first cut. Are we getting returns that are competitive with anybody globally? Are we growing in a way produces quality results that are sustainable? All those things are the things that make you attractive, also would be the defense. At the end of the day, it would be the Board’s decision if someone came with an obscene amount of money for the business, then that’s something that the Board obviously has to consider. But, it is by no means -- you could back into the likelihood of it. I think we can -- I think these businesses are competitive and I think we hold our own with anybody globally. And when they have plenty of scale, so we don’t need to do any sort of other M&A with someone to get attributes that we don’t have now. One of the -- it was on one of the slides and I probably went by too fast, but just given the amount of information today, there is no -- the resources we need to do new things, we are not talking a lot about today just because of the time. But from the smallest, most innovative start-ups to largest tech firms, you could think of in the world, we’re a really good partner. And we have very -- and they want to do business with us. They want our brand, they want our data. They want our scale. They want our market position. So, we don’t lack. I mean it’s an interesting test I think of our relevance. They see us as someone who if they commit resources and in some cases their companies too in the smaller firms that will -- we’re going to be there, that we’re going to succeed. And I honestly -- from a personal point of view, I think it’s one of the more -- it’s one of the things I’ve learned in this role. It’s one of the more fascinating looks as a business because it’s very much about -- because they have to frontload so much of their work and they tie up bandwidth much more than it is to us, and it’s a very interesting sort of affirmation how we are as a business. We have to be good enough. We’ve talked that [indiscernible] had a digital share. We’re actually good enough to partner with them. We have to have tools that can connect with data miles, they can connect with. We have to be modern enough. But, I think you will see us over time, you will see more partnerships laterally and things that are different than the model now because we can and because to them, they see us as a good business prospect for their long-term plan. And again, it goes back to is this a viable business, is this the right ownership structure, is this the right thing. I think all of that is embedded in there. And we’ve really got some interesting projects coming up. And again, they are not on a pure financial basis. They are -- people are bringing us their newest and best stuff in a lot of cases where we’re putting it right to work, just really great. But I don’t worry about a hostile. We have procedures around housekeeper that we look at all those combinations, partials, full, everything, and we will continue those diligently on those work streams as well. For UK retail platform, John?
John Foley: So, the go forward strategy, Ravi, thanks for the question, I feel a Nic type answer coming on because I think it’s a -- we’ve really got a big opportunity here. I mean, Mark, put up the slide earlier on about how we see the opportunity. The issue I think we have right now is twofold. First of all, we are spending a lot of money to build the right platform for our business. And that’s happening as we speak. And we are very confident about the outcomes there. The other thing I would point to you is that we have signed, recently signed this administration partnership with TCS that puts us in a fantastic position to do far more with a partner who is already digitally-enabled, easier to do than say. And the last thing is that we -- look at what’s happening. We’ve got 36% increase in Pru fund; we’ve got 17.3 billion of inflows into M&G. I mean, one of the issues we have is deployment of capital. Anne will give you an idea of what that looks like at the moment.
Anne Richards: If you look at the level of capital that we have, I won’t give you precise number, but the assets that have been awarded and not yet funded or awarded or not yet invested, we’ve really got the largest capital Q that we’ve ever had. And if you just roll back a little bit to last 18 months or so, we’ve launched more than 20 different investment strategies and capabilities and funds of different -- all of which have net inflows, if you like. So, the range of capabilities and the distribution of those capabilities that we’ve already achieved and the flows that we’ve got there, it’s pretty comprehensive. So, I think there is a lot that we can do on the digital channel, as John has mentioned. But actually, first and foremost, have you got the capabilities in the marketplace that the market actually wants to buy. And that’s the marketplace across all of the channels, institutional wholesale across the Europe as we’ve seen as well is in the UK. And the evidence suggests that we probably do, if you look at infrastructure where we’ve been doing stuff, alternative credit, private assets as well as the go-anywhere bond funds and asset funds. I mean the range of what we have that the market is interested in is quite compelling. So, I there is a lot more that we can do and I think bringing the two businesses closer together will help accelerate that, but we’re doing it from a position of strength.
Mike Wells: And then, the debt question, is there anything more to add?
Nic Nicandrou: We’ll have more to say in Singapore on that as well. I think, we really want to showcase what aspects and where we think we’re doing when we get to Singapore.
Chad Myers: And Ravi, in terms of the IFRS, equity position, I think you should work on about £6 billion is what’s in the account for the UK annuities piece. So, that should give you sense then against that 500.
Abid Hussain: It’s Abid Hussain from Credit Suisse. Just two questions if I can. Firstly, on the UK, I was wondering what sort of Solvency II ratio do you think is ideal for Pru M&G going forward? Is 150% too low or is that the sort of write about level? Secondly, on Asia, Asian distribution, can you just share your thoughts around the long term viability of the agency turnout in Asia? Do you think there is a threat there from the rise of online distribution platforms, particularly in China? How do you see this base evolving?
Mike Wells: So, on Solvency II, no, I think, it depends on -- I’ll let Mark comment on this as well. It depends on what the nature of the liabilities are and what the nature of the capital is? So, one of the challenges with Solvency II is not all 150s are like, and across jurisdictions and they’re even less so. But, I think, given the mix of liabilities that’s there -- and then the other piece with M&G Pru is you have the backstop of the earnings from the asset manager as well. So, it’s got a new source of liquid earnings, liquid capital generation. So, we haven’t said what the ultimate number would be. But, if you said to me, is that strong number for that firm, given the liabilities that has -- what its capital structure looks like and what its earnings prospects look like to generate capital, I think it’s a healthy number. Do you want to disagree with me now, publicly?
Mark FitzPatrick: I’d never do that. And remember that I suppose 30% of the credit risk has gone. And when you move Hong Kong, an element of interest rate risk goes with that as well. So, the risk profile of the business is significantly reduced, significantly less volatile. And therefore you need to look in that lens what is the appropriate cover ratio?
Mike Wells: Yes. When you’re in the -- if you’re in the UK, the PAC Board meeting, the first lens is really Solvency II, second lens is own risk appetite. And if you think of that, that’s everything from our sensitivity interest in equity movements. And it’s all of the things that you say. Do we believe this is something we should be doing relative to everything else we’re doing? It’s much more personalized by company than it is sort of the more standard metrics. So, both by -- both are important and both are certainly important in the governance model. But, I think it’s fair to say the first lens is how does this fit with the risk appetite. So, if you do reduce the risk, the amount of capital you’re holding theoretically should come down, again, subject to market norms and all of the regulatory and everything else. The more risk you’re taking, obviously the higher it should be. But, it will be well capitalized and everyone would -- we’ll have the agreement we need on that from key stakeholders before we let it go. Asian distribution?
Nic Nicandrou: Clearly, we are alive for the trends. Where we have seen digital distribution gain traction is predominantly in the P&C space and kind of very simple low case size kind of in the health space. Whenever it’s come to high case sizes or something more complicated. And when you’re in Hong Kong, you’re talking about critical illness products that cover about 113 or so different conditions. Whenever you’ve seen it, increasing complexity, then they don’t get a lot of traction. In fact, we do, we have our own sort of digital distribution. We have 1.6 million customers in Ghana alone just doing very, very low case size protection and health business on the phone, literally a couple of dollars a year. So, our view is that digital channels will complement kind of rather than replace what we currently do, what’s distribution. I think the winning strategies ultimately will be ones that combine both online and offline. Online typically is to do research and then offline when you have to deal with queries, be it on the telephone or face-to-face. And we are developing the tools today. And there are many examples I can give you pretty much across all our businesses to equip our agents, to equip the people that sell our products in the branches in a way that enables them to do it as digitally as possible and then fulfill ultimately what the customer wants.
Mike Wells: And parts of that, I think at the consumer level are they expect the paper work, the forms, the processes to be more digital. So, if you’re in our Singapore -- if you’re in Singapore, you take your ID card and our app scans it and pre-populates all the fields. I think the consumers expect that. I mean, it’s -- it may be leading edge for insurance where they are elsewhere, other people could do it. So, part of our comparative set is the other experience that consumer has, not necessarily what our insurance competitor does. And a lot of it is easy to use, not necessarily purchasing. In China, they’re doing photos as well as -- not only is at all digitals on the app and issued almost immediately, but facial recognition. They are taking a photograph because that is a more common way to access security. And so, there are different dynamics to -- we have to follow whatever -- we have to make sure we meet the clients’ expectations wherever they are. And those certainly are more digital, the further east you get.
Nick Holmes: Nick Holmes, SocGen. I will this very, very quick. Just a couple of questions on the U.S. First, are you thinking of moving away from variable annuity equity guarantees? I mean, we may be at the top of the market, who knows. Are you concerned that you’ll maybe putting on too much equity risk and you want to do more with products like Elite Access et cetera? And then, the second question is, could you tell us the size of the net amount of risk? And Mike, I was very intrigued by your comment that policyholders are making very good investment returns from their variable annuity assets, which I’m sure is true. But, the net amount of risk is fairly large, I believe. And so there is an underperformance versus the guarantees. And I just wondered what your thinking was on why that is happening. I’m not -- let me make this clear, I’m not suggesting that the net amount of risk is an amount what can be exercised immediately at all. But as an indication of the performance of those assets, it does suggest that not all policyholders through their own selection of funds are actually achieving such great returns.
Mike Wells: So, I can do as much on net amount of risk as Nic can do on China, if you want to do this. It is one of my least favorite metrics and that may sound convenient. If the clients have return, you see the appreciation on one of the slides we showed earlier and you know the guarantees are sub 5? The withdrawal of guarantee after their money is depleted. So, if you just think of the simple economics, if they’re earning in the 7s net and the guarantee is sub-5, right, it’s very difficult for the net amount risk. If it produces a number that’s negative to be indicative of them underperforming the guarantee. So it’s -- and captures a variety of other metrics. The less you sale, the better it looks, because it just -- a whole bunch along with it as a -- in the money nests we’ve used before, and I’ll ask Chad here in a second to comment on it. But, Nic on the guarantee, on the are -- we exceeding the business because we are timing the top of the market, no. I think, you said before we reset the guarantee level annually. They effectively go up on the contract anniversary of the client as does the fee for the guarantee. So, if you and I created a variable annuity company today to enter the market and we sold a contract today at this S&P level, assuming they only buy the index fund, they can buy an index fund, we have the same -- we would be the same pricing point as Jackson will be with the client renewing today on the guarantee fee. So, the fees of the guarantee stay with the underlying exposure we have with the equity market. And as we said, we are not trying to make money on the guarantee fees, but it’s plenty to hedge the equity exposure. So, no, there’s no intention. The client behavior has not changed. We’ve seen a percent or two increase in their equity exposure, it’s still nowhere near our pricing assumptions. You wish for the consumers for the retirement accounts; they’re slightly less procyclical on their movements. But, it’s the nature of U.S. consumers; they’re fairly cautious with retirement money. So, we have not seen any material shift in consumer behavior. But Chad, do you want to fill in some color around that?
Chad Myers: Yes. I’d say -- I’d second what Mike said. I mean, the net amount of risk is probably the least favorite and we don’t use it for anything for managing the book. It’s something that others have discloses. So, we made disclosures in the past. It’s the best example I can give you just in terms of the flaws of net amount of risk would be if you had somebody who is -- who had $100,000 policy, has bought a policy with $100,000 that had a benefit of $100,000 left, there is $50,000 of account value. So that would be measured $50,000 net amount of risk. If they were 95 years old and they will take out $5,000 a year out of their account, that’s going to show up as a negative indicator in terms of net amount of risk. The chance of them being able to actually access that for us to go on risk is roughly zero. So, that’s why we don’t like the measure. If you look at the overall moneyness, I mean, our average policy is basically at the money. And as Mike said, they step up annually with the market and with guarantee, so we’re in a position now. I mean, it’s actually the book is in the best position it’s ever been. And even if you look at the net amount of risk, which is a flawed number, you will see it’s as good as it’s been over the years as well.
Mike Wells: We’re going to keep writing, Nic.
Nic Nicandrou: Just one thing I’d just add on that. In terms of -- the markets may look frothy from the equity side, interest rates backing up were actually quite helpful, in terms of overall value of the guarantees. So, that’s a good indicator.
Mike Wells: We’ve got three more, if you want to call it that. And we’ll go right for dinner. Is that fair?
Marcus Barnard: Marcus Barnard from Numis. Just a quick question. I’m just interested in why you’re going to headquarter the international businesses in London when they haven’t got any operations in London? I mean, I would have thought Singapore or America would be a much better location. Is that something you’ll review over time? I mean, is that next year’s announcement or are you committed to London?
Mike Wells: No, we’re committed to London. I think, you’ve still got Africa. We don’t have -- I think M&G and Pru would tell you that however motivating visits are from JHO to their business units, they’re not critical in the day-to-day operations to the current structure. So, I think, where the Group is centered is not an operational issue. It’s the sovereign functions of the business. So, it’s everything from the rating agencies, the listing requirements, the interfacing with you folks, capital allocation and preparation of financials, risk management, compliance, those functions, and those are staffed and work well here. I think, another argument I’d make on a practical front is with everything -- if you -- so we’re talking to the management what we are saying as it’s business as usual and this stuff is done just proportionally by Group and on the nights of weekends as I said earlier. The exercise to do a redomicile would be massive. You’d have heavy turnover, you would be replacing people that you know are already good. And you may or may not get cost savings or some new -- I’ve heard the theory, are we going to get new investors -- we find Asian investors have no problem buying shares on the FTSE. And they tend to gravitate towards our most liquid. We are on Hong Kong, we are on Singapore, we have an ADR in the U.S. and we are here. The large investors tend to gravitate to the most liquid market, which is here. So, we don’t see any distinct advantages, we like rule of law, we like the talent, we like living here. There is a lot that says London.
Alan Devlin: Alan Devlin, Barclays. Just one question, You said Pru plc is not necessarily best owner of M&G Prudential over the long-term; if someone else thought they were a better owner, would you consider a sale of the business or is this demerger the single...
Mike Wells: It’d Board responsibility to look at anything that came out as. But I think, again, given the current success of the business, is it -- there are other businesses about the same size in the UK, if someone was a buyer, they have different characteristics each. I recognize this is the best one. And it’s a -- but there is a question we can manage -- if that process occur, we can manage it. But I think, our preference and our intended model would be a standalone entity. When you are in the marketplace, you are subject to market activity. I mean, I wouldn’t diminish that can happen. But we don’t anticipate that being the outcome.
Unidentified Analyst: Back to the 6 billion IFRS net assets on the annuity, is that for the entire UK annuity book or just the slice that you sold? And what are the equivalent numbers in the EVV terms? Then as follow-on to that, should I allocate the 300 million EVV loss as a -- on the annuity disposal, the frictional cost of the demerger, or should I be worried about your EEV assumptions?
Mike Wells: So, the 6 billion is the overall, so, the whole piece. And in terms of the -- would you mind repeating the second question,
Unidentified Analyst: It’s 300 million EVV loss, a frictional cost of the demerger.
Mark FitzPatrick: That 300 million is effectively a loss as a result of the loss of future -- future fees from the annuity piece. So, I wouldn’t see it as a frictional cost of the demerger. It’s a result of the sale of the annuity book, which is something that we closed today and is effectively a core part of the derisking of the UK businesses.